Holly Schoenfeldt: In Slide # 2, the presenters for today's program are Frank Holmes, U.S. Global Investors CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Director of Marketing. Now let's move to Slide #3.
 This is forward-looking statements. So during this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and the corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today, and U.S. Global accepts no obligation to update them in the future.
 On the next slide, as always, we would love to offer anyone tuned in today one of our JETS, GOAU or SEA hats. In addition, we do have JETS luggage tags available. All you have to do is send us an e-mail with your physical mailing address to info@usfunds.com. 
Frank Holmes: And don't forget the GOAU. 
Holly Schoenfeldt: And the GOAU hats, yes. All right. So on this slide, I want to quickly review our company, U.S. Global Investors is an innovative investment manager with vast experience in global markets and specialized sectors. It was originally founded as an investment club, becoming a registered investment adviser in 1968. The company has a long-standing history of global investing and launching first-of-their-kind investment products, including the first no-load gold fund. We are well known for expertise in gold and precious metals, natural resources, airlines and luxury goods. And now on the next slide, this is where I want to hand the presentation over to CEO, Frank Holmes to review what we believe is one of the most helpful and also one of the most telling visuals when it comes to investing, not only for GROW, but for any major asset class. Frank? 
Frank Holmes: Thank you, Holly, and thank you, all the shareholders and Lisa, who are helping the marketing team put this presentation together. And yes, the DNA volatility is very important because they try to identify that and relate that every asset class has its our own unique volatility and often, it's more volatile, the more emergent or a new business is coming into the forefront. And if it's not in one of the big indexes, Tesla, as you can see here, used to have a daily volatility of 6%. It's now 3% because it's gone into the S&P 500. And that's what happens over time. And so anyone that goes and buys GROW has to expect it's a nonevent for 70% of the time to go up or down 2% in a day and over a 10-day period to go plus or minus 5%. That's very common with microcap stocks and it's very common with GROW. I am going to walk through the presentation to try to help you embrace and understand what drives the direction often for GROW stock price. Next, please.
 I want to thank all the fun investment advisers. Most of these investment advisers are index, except for [Perritt]. That is an active microcap fund manager, and I believe that the same thing with [ Canon Wealth ]. And thank you for being shareholders. Next, please. 
 I own approximately 18% of the company, and I have 99% of the voting control, which is to be in compliance with [ 40 ] Act rules for an investment adviser. Going into great detail on the complexity of it, but basically, all the covenants everything is aligned with all shareholders. Next, please. The company has been paying a monthly dividend since 2007. The current yield on the share price of $2.69 is $3.35 and the Board on a regular basis reviews to approve the dividend. Next, please.
 Our vision is to create thematic products that are sustainable. That's always proved to be difficult. I don't know why, but knowing for gold, GO GOLD for these big cycles, and the last big gold cycle from 2001 to 2007, our assets went from basically $500 million up to $7 billion and it's interesting to see that those assets like Eastern Europe, which were very early went from $4 million to over $1 billion. And the same thing at China fund from the early 90s it exploded in assets. But the whole anti-Eastern Europe and concern over Russia is basically really created a difficulty for investors to want to take that risk. I think a lot of American investors would rather take the risk in a domestic technology stock than to go and be in Eastern Europe or anything that's in China. So those 2 funds, which were onetime big product funds and very profitable funds have been shut down. 
 And it has nothing to do with the overall fund performance. It is a combination of mutual funds being no longer the appealing asset class. It's been directed towards ETFs, where the growth is and I'm going to walk through with the specialties in the ETF space, where we see the growth that maintaining. And we go through these cycles. 
 So life is about manage the expectation for a new product launch, we believe that the basic cost for audits and legal is about $0.25 million a year. It's excluding compliance and marketing and trading, et cetera. But just to put a product on the shelf and you have to take about 40 years to plan to get the brand so that you get up to the critical mass. You need about $50 million at 60 basis points to cover your basic on-the-shelf cost. To cover all your costs, you need about $100 million. So that's something for -- we do understand and we do have an idea that when we launch a product that we're willing to support and back it.
 I mentioned to you a few minutes ago that we did shut down our Eastern European fund and our China region fund and what we learned in that whole journey is that the shipping -- cargo shipping in particular, ships on the ocean sea, they capture about 80% of commodity flows from emerging countries to manufacturing centers and then the ended product then being shipped back to developing countries or developed countries, from developing countries. And you can play through the shipping and cargo airlines and through cargo ships, the growth in emerging markets. You don't have to go and have a thematic Japanese fund. You don't have to go to China. It all -- any products that are coming from Japan over to America, they're going to come by ship or plane. So that has been our focus and strategy of replacing those with our Sea to Sky ETF. 
 Strategically, we continue to buy back the stock and manage and I'll talk more in detail in a few minutes and then manage to preserve our cash for future growth opportunities and market corrections and M&A activity to grow our fund assets. We're always looking at opportunities for growth. Next, please. So why buy back shares? The company believes that stock is undervalued, deeply undervalued and therefore, buys back shares of GROW when the price is flat or down from the previous day's trading. We have a disciplined, orderly fashion of buying back stock. The lower it goes, the more we buy back. And that's just how simple it is in that model. And Warren Buffett highlights the value proposition of buying back one's own stock and as a value-accretive prices. So doing so, Buffett says benefits all shareholders, not just the biggest holders and we agree. Next, please.
 So the S&P 500 Goldman Sachs says the U.S. stock buybacks could jump to an all-time high to $1.1 trillion, even with the tax that was imposed by the Biden administration and interesting enough, the huge, huge purchase that was announced this past week by Apple, which ignited the technology stocks from the billions of dollars a month, they throw up on free cash flow. And so I think it's just prudent in our strategy what we're doing. Next, please. 
 The current share repurchase program for the quarter ended March 31, 2024, the company repurchased a total of 211,282 Class A shares using approximately $577,000. Next, please. So this is a sort of a value. I don't know what happen with -- the numbers weren't put in there on this visual. We'll get them corrected but you used to have Class A, the focus to be 15 million shares. And I can see over time is slowly contracting that the Class A shares outstanding is 11.8 million and the shareholder float is approximately 11.2 million. Next, please.
 So the concept of having a dividend and buying back stock maybe in favor created an ETF. They became quite successful on focusing on those companies that had 3 things: pay down their debt, free cash flow to increase the dividend or buy back the stock. And those stocks outperform the S&P 500 [indiscernible] . And so we do find it's a very balanced way of how we're looking at the capital structure of capital markets and how we're positioned capital markets. Next, please. 
 So the shareholder yield of formula is cash dividends, net repurchase and net debt reduction divided by marketing cap. Next, please. So gross total shareholder yield is approximately 8.32%. Now this is relevant when you compare it to the next visual, which is the 5-year government bond. So often in dividend growth monitor models, it's risk-free to go buy a 5-year government bond today and get a 4.21% yield and so why would someone buy GROW and get the yield of total shareholders 8.32%, and that's because of the volatility and what the risk is.
 So risk-free is 4.21%, anything above that is the premium. So quite often, the premium is only about 50%. So it appears to be that GROW is undervalued on this model. But the microcaps as a whole have seen net redemptions out of the funds. Many of the active funds in the small-cap microcap have found it difficult and fund flows and in particular, when the rules changed 3 years ago come June on what's deemed as being illiquid stock position that used to only be for bonds and it's morphed over in the regulatory world to include equities, and that has had a negative impact because trustees and of these boards are always reluctant to have to determine what is illiquid and so why even own them. 
 So you've seen a bias towards even in the gold space, which we have a tremendous expertise in that they'll buy a stock because of liquidity, not because it pays a higher yield or it offers better value and not sort of morphing up a regulatory world. 
 But longer term, it's always been proven on data analysis when you go back 20 and 30 years, the total shareholder yield as a great discipline if you're a long-term investor to look at picking companies. Next, please. So this is a visual that you would do as a fund manager and you're looking at rising yields are weighted on microcap stocks. And what you can see in 2023 in the green is the 5-year government bond yield was rising, and it ran up to almost 5% from 3.5%. And you saw that the microcap stock start to sell off with that, in particular, last year from August to October. 
 And then we had the 50-year -- sorry, the 50-day moving average for the yields on the 5-year government bond, it fell below. And as soon as they fell below, all of a sudden microcap stocks are rising. This is the trade-off. Each month, insurance companies and other asset allocators have fund flows coming into them and they do this risk free. They go to 5-year government and otherwise, you start going to buy stocks. And you can see this rotation.
 And then since April, we've seen where the yields start to rise again and microcap stocks start to sell off. It's just -- I think it's really important. We are a microcap stock as a shareholder or if you're an active fund manager that this over any quarter, any 12-month rolling period can have an impact on the price movement and direction of the stock. But more important is the growth in revenue and the growth in revenue is highly correlated to growth in assets. Next, please. 
 And this is another sort of visual of taking a look at it at a different time period. This is microcap index, the Russell Microcap Index versus the big cap S&P 500 versus GROW stock.
 So you can see the S&P is far outperformed, the magnificent 7 big tech stocks have far outperformed the S&P 500 the Russell Microcap Index is up 20% and GROW's up 11% when you take a look over a 12-month period. Next, please. When we look at 3 years, you can see that GROW is greatly underperformed. And that's -- I have some wonderful shareholders that caught up and really drill me on what are we doing? What's the new products? What are the assets, how are we managing our cap structure, et cetera? And some are very useful and respect that they provide insight.
 They question, especially Bruce Newberg, is a wonderful, thoughtful, long-term shareholder, has come in and gone out of the company. And so when we look at 3 years, you can see we've underperformed in the Russell Microcap. It has also underperformed versus the S&P, which is up 38%. It's a big difference between the Russell Microcap and the big cap liquid stocks in that overall performance. So why has role been the sort of laggard? Next, please.
 Well, our understanding is that when we go and look at the Russell Microcap, and we look at GROW over a 5-year period, where we had a spectacular run, where we ran up to $12. And you can see here, this is what 191% price action since over the 5-year period, and we've outperformed the S&P 500, and we've outperformed the Russell Microcap, which is really hard to believe but if you had bought it 5 years ago, you're still doing better owning GROW as you've been able to maintain and have you been able to shortly get out at the very top, and you're a very good trader of trading of the position. I myself have not been a trader out of the position as I continue to try to build wealth underneath the hood of the company.
 Next, please. Now this is more granular and this is trying to explain to you as an investor, what often drives the stock movement. And we can see when the stock had its big run and peak a high technology, which we were owning up close to $1 for every share, a share in HIVE. It had the spectacular move HIVE did. And this also had a big impact on the movement of GROW because of mark-to-market. And we also had this huge asset growth during COVID where HIVE went from HIVE but jets ETF went from $40 million up to in September about $4 billion in assets. So we had this incredible run where JETS was growing, HIVE was exploding, Bitcoin was exploding, and that moved our of stock. That's our stock seems to move on the anticipation of big growth in revenue. It also correct. So one of them would say, okay, well, let's look at those 5 years, why are you down from that peak whereas JETS is not down as much.
 Well, JETS has had redemptions during that period. Predominantly international investors that put over $1.5 billion into the ETF have seem to redeemed. We had a lot of money out of Israel, Israeli insurance companies. And as we all know, the challenge that Israel has been going through, but they started to redeeming before the war in Gaza and sort of how they were looking at the risk of a recession. And we've now been living with over 500 days, the longest time period of inverted yield curve. And historically, with inverted yield curve, microcap stocks are challenged. And I think that this is another factor.
 And the concern of yield curve is a big recession, and therefore, the airlines will take it on the chin. But in fact, the redemptions have been there, but the airlines continue to make buckets of money. They continue to squeeze out any type of competition they have, Lisa going to walk you through in a few minutes. There's no discounts in booking in year out from now like there would be in a normal fears of a recessionary year you would see in a forward curve that there'll be a big dip in pricing of buying tickets. That's not taking place.
 So the airlines remain, as a GARP investor, deeply undervalued and have more of the upside on a relative basis for transportation. And the supply side of pilots and the supply side of air path, the routes, et cetera, remain very, very tight, and therefore, there's a big pricing power that the airlines have. HIVE, we had converted into a convertible debenture pretty well at the peak when we take a look at that period when HIVE had that big run and that's done well in building cash in our balance sheet, but the movement of U.S. global day-to-day or mark-to-market on a quarterly basis has really changed with the -- as you can see with the structure of the note.
 Next, please. So when we look at our competitors, Wisdom Tree is 100% ETFs, Invesco is 40% of their assets like QQQ, and they also have mutual funds and private assets, et cetera and U.S. Global is about 86% of our operating revenue comes from ETFs. So we're not 100%. And so I think it's on a relative basis, important to compare. You can see from price to book U.S. Global is inexpensive. The Wisdom Tree trades at the highest price to book. QQQ trades at lower value, but I think that we are probably lower than QQQ because of the intrinsic value of the real estate. 
 And then I get shareholders calling up, sell a real estate, lease it back and buy back the stock that's just a short-term fix. It's still cheaper to maintain this building and the space that we have and the opportunity for growth than it is to go and lease across the street for the amount of space we have.
 So I do track that as a money manager of the allocation of capital. But so far, it's been more attractive. It's not a skyscraper. It's not downtown Toronto or L.A. where the real estate of the REITs have fallen 85%. It has a different type of composition as a piece of real estate is not subject to the big building problem that's happening since COVID. So I remain feeling pretty safe on that as an undervalued asset. I do know trying to buy land along -- 2.5 acres along the interstate highway system, which we are at the first loop were on the city of San Antonio and the interstate highway system, which goes from Jacksonville, Florida, through New Orleans, through Houston, through San Antonio, all the way to L.A. is a valuable piece of land. So I think that over time, it's just one of those good things to tip, to hold as a long-term asset. On a price to cash flow, you can see we're expensive compared to Wisdom Tree and Invesco. On a dividend yield, we're attractive. Invesco is higher. But on a total yield, we're more attractive on a pretax margin, we're more attractive than Invesco.
 Wisdom Tree's assets, pretax margins have improved and the return on their assets have improved, but we are still sort of interesting enough in the middle tier, as you can see here, is not being deeply undervalued and not overvalued relative to the other group. Thank you. 
 Next, please. But I would [ rest ] you that I believe that we're deeply undervalued. And that's why on a steady basis, we continue to buy back our stock. I look at the fiscal year 2024. The company remains profitable despite challenging macro market conditions. The company continues the buyback stock.
 The company has a strong balance sheet, which includes cash and other investments. But for this past quarter from December to March we were basically flat, Lisa will go into the details. From an operating point of view, we lost money, and that predominantly a lot has to do with the acquisition of assets in Europe, the expansion of applying our quantamental model in London, which we're very excited about of converting JETS into TRIP and expanding the TRIP model to not just have airlines but also shipping, which is shipping -- cruise lines have been one of those great stellar performers in the IBD investor business daily universe.
 And those stocks have been on fire over the past couple of years. So they will now start to show up in the TRIP model. And so we're excited that we've got that fund up to critical mass and hopefully to turn profitable here in the next 6 months. Next, please. So we have about $1.8 billion in assets, our quarter revenue is about $2.6 billion. I think we need about $2.2 billion to really feel safe and comfortable that we're covering the growth, not just the cost of putting products on the shelf, but just the overall complex that's requiring the compliance costs and marketing costs and trading costs that are all necessary to have a product on the shelf. Next, please.
 So earnings per share, as you see it made $0.09, was flat the last quarter. Next, please. So we're very excited about an April 24 expansion of global investment opportunities with the trip ETF listed on the London Stock Exchange. The merger increased our assets by 300%, provide the critical mass to expedite growth. It's our innovative approach using smart beta 2.0 investing, which really comes from a quantamental approach to investing and I mentioned earlier that we expanded the cruise lines in the diversity of the product. Next, please.
 So looking at a macro, stepping back from a microanalysis of GROW and then where is the landscape where we're positioned for the vision. This is looking at the North America and Europe continues to be launching thematic ETFs. We've always been a thematic company. We are known originally for gold, still gold, which is a thematic investment. But what -- this is visual showing you that the growth in thematic ETFs remains robust. Next, please. The flows remain strong and robust. Next, please. So quantamental investment strategy combines cutting-edge technology with robust data analysis to help optimize returns and manage risk effective for the shareholders. You can go to Investopedia and give you another more broader, deeper description of what it means. But smart beta 2.0, we were pioneers there, and I'm a big believer in our mosaic from being global investors that are applying a data map, discipline from macro trends or purchasing manufacturers index of looking at trend analysis and the correlation with commodities that all lend itself to creating the smart beta 2.0 ETFs.
 Next, please. So we have shipping. We have airlines, jets, and we have gold. Now we have TRIP in London. Next, please. Well, some positive things for gold. Gold has been on a tear this quarter. It slowed down recently because rates start to rise in the past since April, as we showed earlier in the presentation, but gold in Japanese yen terms is up, as you can see here, 26% and Chinese yuan is up 17% and rupee, it's up 16%. This is a secular bull market in gold. So gold is rising in all-time highs for most countries, currencies worldwide. Next, please. 
 And what we see is some of the -- sort of the rational reasons, bad news is good news for gold. Interest rate expense on U.S. public debt gets $1 trillion. Next, please. Global air passage demand was up 13%. Just was up 10%. So I think it's still deeply undervalued if it was to trade at a relative valuation to the other transports then you would see on an EBITDA basis, it could double and triple in overall performance. Next, please.
 Airline industry expected to start with record summer travel in 2024. I mean I'm getting you a sticker shock of planning summer vacations going over to Europe and going down to Africa that there's just no slowdown in the cost of these prices of tickets from a year ago of what's taking place. Next, please. So GROW's investment in HIVES digital technology, it was a $15 million convertible. They've been paying down each quarter. And as you can see here that it's $5.1 million is owed at least can give any additional granularity as necessary. Next please. 
 Now I'm going to turn over to hardworking Lisa Callicotte, our CFO. 
Lisa Callicotte: Thank you, Frank. Good morning. First, I'll start with our highlights. Our average assets under management are $1.8 billion for the quarter ended March 31, 2024. Operating revenues were $2.6 million, and we had a slight quarter net loss, but it rounded to $0.00 per share. On the next slide, we talk about our breakout of earnings. We have operational earnings that consist of our advisory services, and we have other earnings, which mainly consists of realized and unrealized gains on our investments but both our advisory earnings and our investment gains and losses fluctuate based on stock market forces. The next few slides give some more detail of our operations for the quarter ending March 31, 2024.
 On this slide, you can see our operating revenues are $2.6 million for the quarter. It's a decrease of $1 million or 28% from the $3.6 million in the same quarter last year. And the decrease is primarily due to decreases in assets under management, especially in our jets ETF. Operating expenses for the current quarter were $3 million. This is an increase of $187,000 or 6% primarily due to an increase in general and administrative expenses of $256,000 or 17%, primarily due to high fund expenses as discussed by Frank because these related to proxy causes for the elimination of our equity mutual fund performance fees and our merger costs related to our European [UCITS]. But both of these initiatives our investment in future revenue. Removal of the performance fees will cause less volatility in our mutual fund advisory fees, and the fees will be more consistent with other mutual funds.
 And our European UCITS merger increased our assets approximately $18 million, which is over 300%, and our fee increased from 65 bps to 69 bps. The G&A expense increase was somewhat offset by a decrease in employee compensation and benefits of $55,000. On the next slide, you can see our operating loss for the quarter was $488,000 or an unfavorable change of $1.2 million compared to the same period for 2023. 
 Other income decreased $688,000 compared to prior year, mainly due to net realized and unrealized losses on equity securities of $231,000 in the current period compared to realized and unrealized gains in equity securities of $270,000 in the same quarter in prior year. So this is an unfavorable change about $0.5 million. And there was also a decrease in realized gains on debt securities of $127,000 compared to prior year. So [those] is a decrease from prior year. We still had positive net other income for the quarter. Net loss after taxes for the quarter is $35,000 or $0.00 per share.
 On the next slide, we see that we still have a strong balance sheet. It includes high levels of cash and securities. The following slide is some more information about assets. And then we can see on the next slide that we still have no long-term debt. And the next slide helps see that we have a network capital of $38.6 million, which increased from $1.2 million or 3% since June 2023, and we have a current ratio of 17.5 to 1. Now I'd like to turn it over to Holly to discuss marketing and distribution. 
Holly Schoenfeldt: Thank you, Lisa. All right. On the first slide in my section, I just want to briefly point out some of the upcoming events that U.S. Global will be attending or speaking at. So the first is the Wealth Management Edge conference. It's an ETF-focused event happening in Florida just next week actually. So our Head Trader, our business consultant and myself will all be in attendance, and we would love to meet you there. If you'll be attending. We also have some free adviser passes that we can give out. So if you want one of those, just e-mail me at info@usfunds.com. 
 The other event listed here in June is one that both Frank and Ralph Aldis will be in attendance. It's the mining investment event of the North happening in Quebec City. This is a premier conference focused on the gold space and Frank will be giving a keynote there and also moderating a panel. In addition, both Frank and Ralph will be doing one-on-one meetings with various companies, many of which we hold in our funds.
 So on the next slide, I want to quickly point out that our website traffic during the quarter ended March 31, was over 0.5 million visitors from around the world to usfunds.com. Many were repeat visitors, but there were even more new visitors, many of which came to read the award-winning Frank Talk blog or sign up for the Investor Alert newsletter, which we continue to see growth in both. 
 Now on the next slide. Don't forget that our educational content does not only come in the form of the Frank Talk blog or the Investor Alert newsletter. We love educating our shareholders through video content as well. So make sure that you're subscribed to our YouTube channel to get video updates on everything from gold to airlines and luxury goods.
 Lastly, on the next slide, as we wrap up today's presentation, I want to remind everyone that we share a majority of our new content as well as any announcements about upcoming events across all of our social media platforms, which also continue to grow. So I encourage you all to follow us on these platforms if you're not already, just so you're up to date with what's going on with GROW, our funds and just broader market insights. 
 And then this concludes today's presentation, and I just want to say as a reminder to our audience, if you have any questions, you can email those into info@usfunds.com, and we will gladly follow up with you to get anything clarified. Thanks so much for tuning.